Operator: Good morning, and welcome to the Piper Sandler Companies Conference Call to discuss the financial results for the first quarter of 2021. During the question-and-answer session, securities industry professionals may ask questions of management. The company has asked that I remind you that statements on this call that are not historical or current facts, including statements about beliefs and expectations are forward-looking statements that involve inherent risks and uncertainties. Factors that could cause actual results to differ materially from those anticipated are identified in the company’s earnings release and reports on file with the SEC, which are available on the company’s website at www.pipersandler.com and on the SEC website at www.sec.gov. This call will also include statements regarding certain non-GAAP financial measures. The non-GAAP measures should be considered in addition to and not a substitute for, measures of financial performance prepared in accordance with GAAP. Please refer to the company’s earnings release issued today for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measure. The earnings release is available on the Investor Relations page of the company’s website and at the SEC website. As a reminder, this call is being recorded. And now I’d like to turn the call over to Mr. Chad Abraham. Mr. Abraham, you may begin your call.
Chad Abraham: Good morning, everyone. Thank you for joining the call to review our first quarter 2021 results. I am here with Deb Shannon and our President; and Tim Carter, our CFO. We will go through our prepared remarks and then open up the call for questions. Market conditions remain supportive during the quarter, and the strength in diversity of our franchise continues to be evident as we delivered record first quarter results. And we continue to execute on our strategic priorities. As the operating environment continues to open, we are accelerating the process of bringing employees back to the office, and we are increasingly meeting with clients face-to-face. During the first quarter of 2021, we generated record adjusted net revenues of $414 million, a 24.8% operating margin, and adjusted EPS of $4.13. Our strong start to the year was broad-based as all of our businesses had impressive results during the quarter. Turning to our corporate investment banking business. We generated total corporate investment banking revenues of $269 million in the first quarter of 2021. This is the second consecutive quarter with corporate investment banking revenues in excess of $250 million. Our performance by sector was broad led by our market-leading healthcare practice, which continues to generate record results as we assist clients to connect them with investors who have an interest in this space. The quarter also included strong contributions from our consumer team, which had a record quarter driven by strong M&A activity, and from our technology group, which was active in equity capital raising. During the quarter, equity financings contributed 43% of total corporate investment banking revenues. M&A activity generated 40% and debt and capital advisory engagements produced 17% of revenues. We expect our mix of corporate investment banking revenues to shift as our advisory pipeline built and equity capital markets activity begins to moderate. Our advisory services business performed well generating revenues of $153 million during the first quarter of 2021. We completed 47 M&A transactions and 30 capital advisory deals. M&A activity and pipelines continue to build across all of our industry verticals. As an example, we have advised on seven of the 10 largest valued bank M&A transactions announced this year. The pace of COVID-19 vaccine access has picked up and businesses are quickly repositioning for a post-pandemic landscape. Demand from PE investors and SPACs along with low rates, ample liquidity, and a strong economic recovery are driving CEO confidence and M&A activity. With the investments we have made and the strength and breadth of our advisory business, we believe we are well positioned to capitalize on the accelerating strength of the market. Turning to corporate financing. We continue to take advantage of a spectacular equity new issuance market, where activity was centered on healthcare companies and SPACs. During the first quarter of 2021, we generated a record $116 million of revenues and completed 71 equity financings raising $22 billion in new capital for our clients. Our expertise and reputation in the healthcare space combined with robust markets allowed us to assist our clients to raise record levels of capital to fund innovative technologies, which drove our strong performance. We ranked as a top three book runner of healthcare IPO and follow on offerings during the quarter. Our success and momentum continue to resonate in the marketplace and our recruiting efforts have been very effective. Over the last six months. We have strengthened our presence by adding MDs and healthcare, technology, financial services, and diversified industrials, as well as our growing restructuring capabilities. We plan to continue strengthening our sector penetration by adding talent, looking to embrace our client-centric culture. Before I turn the call over to Deb, I’d like to highlight a recent leadership transition. In March, we named Mike Dillahunt as Co-Head of Investment Banking and Capital Markets. Scott LaRue has transitioned to the role of Vice Chairman of Investment Banking. For over a decade, Scott was my steadfast partner as Co-Head of Investment Banking and has continued as a trusted advisor. As Vice Chairman of Investment Banking, Scott will remain involved in many of our most important growth initiatives, including seeking out corporate development opportunities and identifying and connecting with talented people who fit our culture. Mike Dillahunt will co-lead the group alongside James Baker, who has served as Global Co-Head of Investment Banking and Capital Markets since 2018. Mike is a 23-year veteran of Piper Sandler and exceptional banker, as well as a growth oriented team builder and culture carrier for the firm. Mike recently served as Co-Head of the Diversified Industrials and Services Group, where he led it sector expansion and growth of its private equity coverage. I am confident that Mike and James will successfully lead our corporate investment banking business to accomplish its many near and long-term goals, including growing annual revenues to a consistent $1 billion plus in the coming years. Now, I will turn the call over to Deb.
Deb Schoneman: Thanks, Chad, I’ll begin with an update on our equity brokerage business. Equity markets in the first quarter saw elevated volatility and volumes. Market indices traded higher driven by COVID-19 vaccination access and improving economic metrics. Client activity increased with market participants, repositioning into securities that are expected to benefit from the reopening of the economy and a shift from growth stocks to value stocks. Federal stimulus measures and accommodative Federal Reserve policies providing ample liquidity or additional catalyst to the market. Our equity brokerage business generated revenues of $43 million for the quarter, up 9% sequentially and down 10% from the first quarter of 2020, where we saw unprecedented volatility as the world first faced the pandemic. We assisted clients trade 3 billion shares during the quarter as clients repositioned portfolios and set our premier trade execution capabilities. We continue to increase the number of clients transacting with us on a monthly basis as an increasing number of clients gravitate to enhanced scale research products and execution capabilities. Looking forward, in April, we have seen meaningfully lower volumes resulting from the decline in volatility as market participants have entered a consolidation phase. We remain focused on providing value-added research product and premier execution capabilities to assist clients navigate an ever-changing investing landscape. Turning to municipal financing. Our public finance business started the year strong with $27 million of financing revenues down from the strong fourth quarter of 2020 and up 20% compared to the first quarter of last year. We continued to benefit from strong new issuance as clients took advantage of low rates. The first quarter saw a decline in governmental issuance from the robust fourth quarter, especially in the school districts space. However, we saw a marked increase in demand for specialty sector issuances, which provide investors with higher yields and can offer us higher fees. We continue to grow our specialty sector offerings, which is a differentiator in the marketplace. We were able to capitalize on our strength in charter schools, senior living, and project finance specializations to assist clients in these specialty sectors raise capital in the first quarter of 2021. We underwrote 181 municipal negotiated issuances representing approximately 10% of the activity in this market. And we retained our number two ranking based on number of deals nationwide. Looking ahead, we expect market issuance to remain strong. We expect governmental issuance to continue to moderate. However, we see increased demand for higher yielding specialty sector offerings, where our pipeline is strong, including with our recently added Colorado based team specializing in special district financings. Turning to fixed income. For the first quarter of 2021, we generated record fixed income revenues of $66 million up 25% from the fourth quarter of 2020. The market saw increased interest rates in the first quarter, which drove client activity. The 10-year treasury rate increased from 0.93% at December 31 to 1.74% at March 31. The increase in risk free treasury yields reflects uncertainty in the market and expectations of future inflation. Volatility in yields has been driven by uncertainty in the market with respect to the impacts from government stimulus, increase in government debt levels, very accommodative fed policies and the strength of economic activity from the reopening of the economy. We have seen some clients repositioning balance sheets and portfolios for higher rates while other clients see the increase in rates as transitory. The uncertainty in the direction of future interest rates has driven client volumes higher, which has benefited our client flow-based business. From an outlook perspective, we anticipate the uncertainty over the direction of interest rates to remain front end center as our clients react to an evolving economic outlook. We aim to retain the tremendous momentum in our fixed income business by providing differentiated advice and analytics tailored to define client verticals, serving those clients with product expertise that goes far beyond traditional bonds to include derivatives, loan strategies and securitizations. We also provide clients with access to the breadth of our new issue, taxable and tax exempt products. Now, I will turn the call over to Tim to review our financial results and provide an update on capital use.
Tim Carter: Thanks, Deb. As a reminder, my comments will be focused on our adjusted non-GAAP financial results. We generated revenues of $414 million for the first quarter of 2021 and the increase of 4% sequentially driven by strong contributions from each of our business lines, including record corporate financing revenues. Revenues for the current quarter increased 69% from the first quarter of 2020, as we’ve benefited from the significant recovery of investment banking, as well as robust trading activity. Turning to operating expenses and margin. Our compensation ratio was 61.5% for the first quarter of 2021, compared to 61.9% for the full year of 2020, reflecting our strong performance to start the year. We continue to manage compensation levels while considering investments, employee retention, and business outlook. And we continue to expect our compensation ratio to be near 62% based on our current market outlook and strong pipeline of growth opportunities. Non-compensation expenses, excluding reimbursed deal expenses were $44 million for the first quarter of 2021. This level is consistent with the fourth quarter of 2020 and reflects the continued pause on travel-related expenses. We estimate our non-comp expenses excluding reimbursed deal expenses will gradually increase as travel-related costs returned to more normalized levels. For the first quarter of 2021, we generated operating income of $103 million and an operating margin of 24.8%. Our operating income and margin reflect the increased scale we have built the successful integration of our acquisitions and the benefit of lower travel-related expenses. These strong results represent the second consecutive quarter with over $100 million of operating income and the third consecutive quarter with an operating margin in excess of 20%. We continue to demonstrate our ability to drive operating margin expansion while growing revenues and generate significant levels of excess cash from operations. Our adjusted tax rate was 24.9% for the first quarter of 2021, which included a $1.3 million tax benefit related to restricted stock vesting at prices higher than their grant date price. Excluding this benefit, our adjusted tax rate was 26.2% for the quarter. We continue to expect our full year adjusted tax rate will be within our targeted range of 26% to 28% going forward. Turning to earnings. For the first quarter of 2021, we generated net income of $75 million up sequentially driven by higher revenues and a lower tax rate. Diluted EPS for the first quarter was $4.13 representing our second highest quarter on record and second consecutive quarter with EPS over $4 per share. Let me finish with an update on capital. Our capital and liquidity positions are strong and our leverage remains low. We believe that our priorities for capital deployment remained aligned with our shareholders’ interests. Over the last 12 months, we have invested in our advisory business by completing the acquisition of the Valence Group to expand our industry coverage while strengthening our European presence. Diversified and broadened our investment banking product capabilities by completing the acquisition of TRS advisors, a restructuring advisory firm, paid an aggregate, the $47 million to our shareholders through our quarterly and annual special dividends, and repurchased approximately 249,000 shares or $24 million of common stock on an opportunistic basis in order to offset dilution from annual stock grants. In addition, the board approved an increase to our quarterly dividend to $0.45 per share to be paid on June 11, 2021 to shareholders of record, as of the close of business on May 28. Given our earnings power and cash generation capacity, we anticipate continuing to remix our annual special dividend in favor of our quarterly dividends. Overall, we are pleased with our start to 2021 and record first quarter results. Our business continues to be exceptionally well positioned for growth, and we are confident in our ability to deliver on our long-term strategic objectives. Thanks. And we can now up the call for questions.
Operator: [Operator Instructions] Your first question is from Devin Ryan of JMP Securities.
Devin Ryan: Great. Good morning everyone.
Chad Abraham: Good morning, Devin.
Deb Schoneman: Good morning.
Devin Ryan: Hi, apologies if this is redundant to hopped on a minute late, but I wanted to get start on the investment banking outlook and, appreciate, we’re in a very strong backdrop right now, but if I look at kind of the revenues per Managing Director the last couple of quarters you’ve been generating over $8 million ahead, which is, obviously up pretty substantially from, call it $5 million to $6 million in kind of the recent past here. So, I appreciate there’s kind of a lot in this. But I’m just kind curious how you guys think about, or have an expectation for what a range of productivity should look like. And just with the backdrop and maybe the mix shifting slightly, like how you guys are thinking about the baseline of productivity, is a baseline moving higher or even with considering the backdrop is strong is really the question?
Chad Abraham: Yes. Thanks. I’ll take that Devin. I mean, I don’t think we really changed sort of our outlook that $6 million is a good number. I do think obviously in these robust capital markets or, when we have quarters where we have, significant revenue levels, we’ve had times where we’ve operated above that run rate, but we’re certainly not predicting that, we’re going to consistently operate at $8 million ahead. All of that being said, I would say just as we continue to build the platform, as we continue to do larger deals and, add more products restructuring all the work we’re doing with SPACs clearly that offers the bankers sort of more efficiency, more product groups to work with. And so overtime that productivity level should continue to go up.
Devin Ryan: Okay, great. And I appreciate that. And then maybe one on the fixed income trading, clearly it’s been a very good backdrop and, I know a lot of banks are repositioning balance sheets and kind of with the move and securities yields there’s kind of opportunities there as well. I guess I’m trying to parse through kind of what is feeling like a very strong intermediate term outlook. But then beyond that, like the normalized level of activity in that business, I guess, are we kind of over punching because we’re in this kind of unusual environment right now, or you’re kind of similar to investment banking is the baseline they’re moving the quite [ph]higher, especially maybe as you’re getting some synergies, with the Sandler business as well.
Deb Schoneman: Yes, Devin, I would say actually it’s probably some of, both of that. Clearly the uncertainty and interest rates is driving, positioning as you spoke to particularly with depositories there’s excess liquidity in the marketplace. So all that is providing these nice tailwinds to the business, but that being said the breadth of our product capabilities now goes so much more beyond pure bonds. And we’re seeing the benefit of things like derivatives loan trading, securitizations, and combining that with our strategic analytic capabilities, as you mentioned, bringing these two firms together with the Sandler and a legacy Piper has definitely given us an ability to have a broader platform. So some combination of both of those, I would say.
Devin Ryan: Okay, great color. And then just last one on capital return and the opportunities you are clearly creating a lot of capital right now in this environment, which is great. Just love to get some thoughts on what you guys are seeing in the environment potentially around M&A opportunities. If there’s anything that feels interesting at the moment, or you’re seeing a lot of flow around and then just also can appetite for stock repurchase, clearly liquidity is a bit better in the stock, but not incredibly liquid, but maybe there’s opportunities to put more capital into buybacks as well. Just love some thoughts on both of those. Thank you.
Chad Abraham: Yes. Devin, I’ll just go first. I mean I think as we’ve been consistent on the last several calls. I mean, with the operating income and cash flow we’re generating, and then we need, we need sort of multiple avenues. So, investing in our own internal growth then M&A on M&A, we are – we continue to see, interesting ideas, obviously, as we’ve grown the platform, the areas of overlap are smaller, in terms of just perfectly green space, but we consistently continue to see good opportunities. And I think a lot of that just has to do with more and more sort of talented boutiques and producers, see that with Simmons and Sandler, we’ve been able to bring in producers, make it a great opportunity for them to have access to more products. And so yes, we’re, optimistic. We will continue to see those and we’ll continue to find some transactions to do. And, I’ll turn it over to Tim on just the rest.
Tim Carter: Yes. Devin, I think, we there’s this balance, we feel like given the cash generation, we need to use all three of the levers, corporate development that Chad just talked about certainly the dividends which, we increased the quarterly here and, we’ll continue to look at that. We’ve got our target of, deploying back 30% to 50% of adjusted income through that dividend. So we’ll stay focused on that. And then yes, specific to buy backs. We want to stay active there in our goal has always been to offset the dilution from the annual grants. We’ve got about half of that done in the first quarter. And I think we are focused on the liquidity of the stock. So, there is some balance with the buyback aspect, but it really is using all three of those levers given the cash generation.
Devin Ryan: Yes. Okay. Terrific. Appreciate you taking the questions and great to see the momentum.
Deb Schoneman: Thank you.
Operator: Your next question is from Mike Grondahl of Northland Securities.
Mike Grondahl: Congratulations. It’s almost like a fourth quarter for you guys, but to have it in the first quarter is pretty cool. First question, maybe for Chad, Chad, would you say the M&A advisory business is a 100% back and then related to that, what percentage of revenues do you kind of think of advisory as being going forward?
Chad Abraham: Yes, so clearly, I mean as we said after Q4 the backlogs and M&A advisory business, it’s really, really strong. And I would say for almost all our industry teams, our backlogs in advisory are at a record level. So, we continue to see strong momentum and backlogs build really I mean, you can name the sector, but they’re all, quite strong. And then just as a reminder, our, advisory revenues the vast majority is M&A, but we also have some capital advisory, some of the debt advisory placements that we’re not doing as underwritings come in that line as well. But I think our stated goal was to always have advisory be at least half of the business. I still think that’s the stated goal clearly when we have quarters like this, where corporate financing, to have a financing quarter north of a $100 million, obviously that’s going to make it tougher on the mix, but we’re really excited about the backlogs in M&A, and the activity going on and just the across the industry team. So, we expect that mix to stay pretty healthy.
Mike Grondahl: Got it. And, you’re calling out healthcare, but it sounds like just about every vertical is pretty robust. Is there any specific vertical to call out after healthcare or is it just all of them?
Chad Abraham: Yes, so, I would say in Q1, our three strongest verticals healthcare and financial services were very good advisory quarters, but our consumer business, as an example we said had a record advisory quarter, and those were the three strongest in Q1, but we’ve gotten a lots of momentum in our diversified industrials business. Valence has a really good backlog of transactions. So, we’ll see that mix shift as we move forward. And then obviously we haven’t seen all the revenue from financial services and M&A roll through, a lot of those announced deals take a while to close, but we did mention in the release, we’ve been on seven of the 10 largest that bank depository M&A deals announced this year. So lots of momentum in financials as well.
Mike Grondahl: Great. Great. And maybe for Deb. Deb with the administration or the new administration, you know at around 100 days and some tax policies and whatnot, any opportunities or incremental opportunities for the fixed income group you see on the horizon?
Deb Schoneman: Mike I would say right now that’s, it’s just uncertain. There are so many unknowns just take infrastructure spending, which, a lot of people are talking about. We just don’t know how much of that is going to require additional borrowing outside of the federal level or will there be funding that really replaces the need to borrow. So, I would say at this point, a lot of uncertainty and just exactly how that will impact our business.
Mike Grondahl: Got it. Okay. Hey, thanks guys.
Deb Schoneman: Thanks Mike.
Operator: [Operator Instructions] Your next question is from Michael Brown of KBW.
Michael Brown: Okay, great. Hi, Chad, hi Tim.
Chad Abraham: Hi Mike.
Tim Carter: Hi Mike.
Michael Brown: So, I wanted to start with the SPAC market. Just want to hear a little bit more about how you think the, the trends there on, on kind of both the, the IPO and advisory side of the business could play out, for the year here. And I guess kind of to follow onto there would just be is there a need to continue to invest in your capabilities in the space? Is that an area that you’re focusing on for growth and what was kind of contribution related to SPACs in investment banking this quarter just roughly?
Tim Carter: Yes, so I would say Mike, we are participating in the SPAC market for us, the revenues in Q1 was under $10 million, I’ve obviously seen results from others, our strategy has been to be fairly selective with the certain SPACs around areas of expertise we have, where we really can add value so that we’re really driving long-term value of sort of a both sets of clients. I would say, we took a strategy we’re not – where we’re not going to just hop into the entire IPO SPAC market unless we’ve got sort of that expertise across sector. All of that being said, I would say, our backlog in the SPAC markets building, especially on the advisory side, and the pipe side, I think you’ll see that revenue line continue to grow, but again we’re not going to take a holistic participate in everything approach. It’s going to be where we know the teams? Where we know the sector? And where we’re really confident that a year or two years down the road we’ve delivered for investors?
Michael Brown: Okay, great. That makes sense. And on the brokerage business, and just wanted to hear a little bit more about how you think about the growth potential for that business longer term, obviously, it’s very much a market activity dependent, but are there certain capabilities or regions that you’re looking to potentially invest to grow more, or is it really that incremental dollars of investment are really much more focused on other businesses at this point?
Deb Schoneman: Yes, I’ll take that. And it really goes across fixed income and equities and fixed income, which I spoke to earlier is a lot right now about realizing the synergies of the combination with Sandler, and incrementally expanding on some products. But I think that is less around significant investment and more around leveraging what we have and being additive with some organic investments, but see growth opportunity there as a result of all that. On the equity brokerage side, obviously we have now a much stronger business after the acquisition of Weeden in the middle of 2019, and are continuing to see growth in the average number of clients that we’re trading with every day. So again, don’t feel like we’ve fully realized the capabilities there yet. And that’s an area where we will look opportunistically are there areas that makes sense to add from either a trading product perspective or even potentially a research perspective, but in terms of the large dollars of growth opportunity, I think Chad spoke to that earlier and we’re looking at some of those acquisitions relative to our different banking verticals.
Michael Brown: Okay, great. Just maybe one ticky-tacky question here, just looking at the investment income, which was up this quarter, in the press release, it points to some gains in the merchant banking funds, which of course, worked against you last first quarter. Can you just give us a little bit of color? What is – what makes up some of those merchant banking investments? Just to have a better understanding of what that line? What would make up that line? Thanks.
Tim Carter: Yes, Mike, I’ll take that. So there’s two merchant banking funds, which we’re invested in, and a lot of those aligned sort of the investments align with various sectors that we cover from a banking perspective. So, we make investments as a part of those funds in those different companies. So, you can think of that in the healthcare space, in the consumer space, tech space. And you’re right, I mean, last year, obviously, we look at those and need to mark those investments. We have some unrealized losses that went through last year, we saw some of that come back in the second half and it does get to sort of just the underlying valuation of those companies. We’ve actually seen a couple of liquidity events from the fund early into this year related to either an acquisition that one of those might go through, or even in some cases they may go public. So, it’s really that the underlying valuation of those investments within the fund.
Chad Abraham: And I guess, Mike, the only thing I would add to that is, I realized some of our competitors have sort of some concentrated, big positions for us, we’re an investor in the fund and it’s a pretty broad portfolio. So it’s not like there’s one or two investments that make them a sort of massive part of that.
Michael Brown: Okay. Yes. That makes sense. That’s helpful color. And it fits a small line just, looking for a little bit more information there. And that’s it. Thanks for taking my questions.
Deb Schoneman: Thank you.
Operator: Your next question is a follow-up from Devin Ryan of JMP Securities.
Devin Ryan: Okay, thanks. Just wanted to follow back up on kind of potential changes to tax code and capital gains rates and appreciate, that this is going to have to get worked out and negotiated, but it is this starting to come into the conversations yet for the advisory clients, you obviously selling a business in capital gains is an important consideration. So, I’m kind of curious whether it’s driving conversations, so it’s helpful, or if it’s something that is just too early to really start to talk about in any real way. And then so think about it, if you’re a family owned business that this obviously is a, maybe a bigger issue to the extent we progress with a substantially higher capital gains rate, my sense, and your sponsors are going figure it out and they’re going to move forward regardless of what happened. So just love to maybe a little bit of perspective of what you guys are focused on and kind of thoughts around implications for the business and just appreciating that it’s still very early.
Chad Abraham: Yes, I guess Devin, what I would say about that is, I’ve certainly been part of some client situations, where I know its driving part of the thinking; I know it’s on some clients’ minds relative to timing of transactions. If you are going to transact, why not finish this year and get ahead of that. Can I say that it’s, a significant driver yet? Probably not. My personal view is there’s a long negotiation here to come on where that ends up. And obviously if that ends continues to end up on the higher side of what proposed, then I do think you’ll potentially see a pretty big rush for more transactions.
Devin Ryan: Yes, I agree. And I guess just on your business specifically, I mean, the – I don’t know if it’s possible to break out like what percentage is your sponsor backed versus your privately held or, or family-owned? I’m assuming there’s probably some nuance in terms of like the considerations there, but – and I agree it will be in negotiation, but that would be helpful.
Chad Abraham: Yes, I would say on our M&A business, the sponsor private equity sort of mix has continued to grow. I mean, it’s really active across all of our industry teams now, certainly – especially outside of bank and depository, obviously that business is very much a strategic corporate business, parts of our healthcare business are very much a strategic corporate business. All that being said, we definitely do transactions for family-owned businesses, where there’s not a lot of private equity involved, but I would say that’s definitely a minority of transactions compared to those other two categories.
Devin Ryan: Okay. Really appreciate it.
Deb Schoneman: Thank you.
Operator: There are no other questions in queue. I’d like to turn the call back to Mr. Abraham for any closing remarks.
Chad Abraham: Okay. Thanks operator. I’d like to close by thanking all of my employee partners for their hard work and dedication to our clients. I’d like to thank everyone that joined. We very much look forward to updating you on our second quarter results. Have a great day and a good weekend.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.